Operator: Good morning and welcome to the Park-Ohio’s Fourth Quarter 2013 Results Conference Call. At this time, all participants are in a listen-only mode. After the presentation, the company will conduct a question-and-answer session. Today’s conference is also being recorded. If you have any objections, you may disconnect at this time. I will now turn the conference over to Mr. Edward Crawford, Chairman and CEO. Please proceed, Mr. Crawford.
Edward F. Crawford: Good morning ladies and gentlemen, first again, I would like Scott Emerick our Chief Financial Officer to review the Safe Harbor Statement. Scott?
W. Scott Emerick: Thank you Ed. Good morning everyone and thank you for joining us today. If you’ve not received a copy of our earnings press release, you can find it on the Investor Relations section of our corporate website at www.pkoh.com. I want to remind everybody that certain statements we make on today’s call both during opening remarks and during the question-and-answer session maybe forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties maybe found in the earnings press release as well as in the company’s 2012 10-K filed with the SEC on March 15, 2013. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the company may discuss as adjusted earnings and EBITDA. As adjusted earnings and EBITDA are not measures of performance under Generally Accepted Accounting Principles. For a reconciliation of net income from continuing operations to as adjusted earnings and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA, please refer to the company’s recent earnings release. Any references we make to earnings per share are on a fully diluted basis. Back to you Ed.
Edward F. Crawford: Thank you very much Scott. I’d like to introduce Matt Crawford, Park-Ohio, COO and I’ve asked Matt to the review our 2013 activities. Matt?
Matthew V. Crawford: Thank you very much and good morning everyone. Our fourth quarter was much stronger than last year, but not as strong as we had originally forecasted. I will touch on the key drivers to our performance as we go through the details of our results. Let’s start off with the summary of our U.S. GAAP earnings and as adjusted earnings for the quarter. We reported net income attributable to Park-Ohio common shareholders of $8.9 million or $0.72 per share for the fourth quarter of 2013 compared to a $7.7 million or $0.63 per share for the fourth quarter of 2012; this represented earnings per share improvement of 14%. Earnings on an as adjusted basis were $0.85 per share for the fourth quarter of 2013 and $0.67 per share for the fourth quarter of 2012, representing an increase of 27%. Included in our press release is a reconciliation of our net income from continuing operations to as adjusted earnings. So we’ll get into a lot of detail here, however I will mention that we are adding back acquisition related costs in cost of sales, net of tax of $0.11 per share for the fourth quarter of 2013 to derive as adjusted earnings. These acquisition related costs are directly associated with the inventory step-up to fair value that was recorded in purchase accounting for the Henry Halstead and the QEF acquisitions. The entire inventory step-up of $1.6 million was amortized in the fourth quarter to cost of goods sold as the purchased inventory was sold in the normal course of business. Net sales during the quarter increased 13% to $309 million compared to $274 million in the prior year. The revenue increase is attributable to volume increases in the Assembly Components segment and the Supply Technologies segment, slightly offset by volumes decline in our engineered components business, primarily related to the sales of capital equipment. On a sequential basis, revenue increased 2% compared to the third quarter as we benefited from our fourth quarter acquisitions. Gross profit decreased $900,000 to $47.3 million. The gross profit margin percentage was 15.3% in the fourth quarter, which is a 230 basis point decline compared to 17.6% gross profit margin in the fourth quarter of last year. It is important to point out however that included in the gross profit and gross profit margin reduction is the $1.6 million of acquisition related costs for the inventory step-up that we just discussed and it’s associated with a 50 basis point reduction in profit margin. The remainder of the decline in gross margin percentage is largely due to the change of the sales mix between the comparable periods as the lower margin Assembly Components revenues were a higher percentage of consolidated revenues than in the prior year and the higher margin Engineered Products segment revenues declined year-over-year . Consolidated SG&A expenses of $27 million, increased 3% compared to 2012. However SG&A expenses as a percent of net sales declined 80 basis points to 8.9% in 2013 as compared to 9.7% in 2012. Interest expense of $7.1 million increased approximately $0.5 million in 2013 as our average debt outstanding increased as a result of the Bates acquisition. Our effective tax rate for the fourth quarter of 2013 was 26.6%. We benefited from the reversal of a valuation allowance against state loss carryovers in the fourth quarter that reduced tax expense by approximately $1 million. Our full year effective tax rate came in at a 32.2% after the recognition of this benefit. Now let’s focus on our segment results. First, let’s review the Supply Technologies segment performance; Supply Technologies segment revenues represented 40% of the consolidated revenues during the fourth quarter of 2013. Revenues increased 15% over the prior year and totaled approximately $123 million. Approximately half of the revenue increase over 2012 is directly attributable to the fourth quarter acquisitions of Henry Halstead and QEF. The other half of our growth in the fourth quarter was organic growth. This growth was driven by power sports and recreational equipment, which increased 21%. Heavy-duty truck was increased 14% and semiconductor which was up 70%. Not only were these key markets up year-over-year but these markets were up sequentially with the third quarter as power sports and recreational equipment increased 9%, heavy-duty increased 13%, and semiconductor increased 18%. We are very encouraged by the growth and momentum in these diversified markets of our Supply Technologies segment as we head into 2014. With the increase in net sales, segment operating income increased $300,000 to $7.9 million. However, included as a deduction to the Supply Technologies segment, operating income is the $1.6 million of acquisition-related costs associated with the inventory step-up that we discussed earlier. If we normalize segment operating income to provide for a normal margin without the impact of these purchase accounting adjustments, Supply Technologies segment operating income would have been $9.5 million which represents a $1.9 million or 25% increase over the prior year. Segment operating margin would have been 7.7% which would have been a 60 basis point improvement over the prior year’s fourth quarter segment operating income margin of 7.1%. We realized good product and customer mix in the fourth quarter and we remain committed to strong expense management as we leverage our continued growth. Assembly Components revenues represented 35% of consolidated revenues during Q4 of 2013. Net sales increased 30% to $109 million compared to 2012. Just over 40% of the revenue increase is attributable to the Bates Acquisition that was completed in the second quarter of 2013. The remainder of the revenue increase is primarily attributable to the organic growth in the aluminum business. On the strength of the new program launches secured in the aluminum business, revenues increased 46% compared to the prior year. Segment operating income grew $1.1 million to $6.6 million, which was a 20% improvement over the prior year. Segment operating income margin was 6.1% which declined from 6.6% in the prior year. We expect margins to improve in this segment as the new aluminum programs for the 2014 vehicles move past our initial launch phases. Engineered Products revenue represented 25% of consolidated revenues during the fourth quarter of 2013. Net sales decreased 7% to approximately $78 million compared to 2012. Our forging business demand continued to be very strong in the quarter as revenues increased 9% over the prior year led by our rail business. However, the Industrial Equipment business net sales for original capital equipment declined in the quarter by 11%. While we missed our fourth quarter revenue forecast by approximately $14 million for the industrial equipment business, we are encouraged that we will see almost all of these unrealized forecasted 2013 sales in the 2014 results. As you know, this business can experience volatility in the timing of completed jobs and the associated revenue recognition related to percentage of completion accounting based on the job’s complexity and size. Based on order bookings momentum that continues for the industrial equipment business in 2014, we are optimistic 2014 will be a good year for this business. Very importantly, we should also note that we continue to realize steady aftermarket performance in this segment. As you know, our component segment operating income decreased 5% to $11.7 million. However segment operating income margin was still relatively strong at 15% and compared favorably to operating income margin of 14.6% in the fourth quarter of 2012. The slightly improved margins reflected the greater relationship of forging revenues compared to the industrial equipment business revenues between the two years and an overall better mix in the industrial equipment business in the fourth quarter of 2013. I would like to take a moment to highlight cash flows for the year. Operating cash flows were $16 million and compared to $56 million for 2012. Our improved earnings in 2013 were the primary contributor to the increased operating cash flows. In addition, we generated $14 million of cash from investing activities as we sold a non-core business and a minority interest and a small forging business during the third quarter. Net capital expenditures were $22.7 million for 2013 coming little bit under our $25 million forecast as some spending was deferred until 2014. Given our earnings and cash flow generation, we’ve reduced our gross leverage during the year to 3.3 times and a net leverage to 2.8 times at the end of 2013. Overall, we are pleased with our performance during the fourth quarter and the solid improvements year-over-year. Furthermore, we are very excited about record sales and earnings and EBITDA performance for the full year of 2013 and we are excited to begin 2014 [ph] with what we believe to be tailwinds in our businesses for North America manufacturing, the automotive industry and the capital equipment business. Turning to our outlook for 2014, we are forecasting full year consolidated net sales to increase approximately 13%. All three segments are forecasted to experience good topline growth. We expect half of our growth in Supply Technologies segment to come from our fourth quarter acquisitions and the other half from strong organic growth. Our growth in the Assembly Components segment will come from an extra four months of revenue from the Bates acquisition and strong organic growth in the aluminum business of 35% to 40% following the continued ramp-up in the new automotive platforms. We are also anticipating good growth in the Engineered Products segment primarily from the industrial equipment business as we benefit in 2014 from steady order patterns in the capital equipment business and from the projects that were delayed in the fourth quarter of 2013. We’re forecasting the second half of 2014 to be slightly stronger than the first half for consolidated performance, mostly due to the timing of recognition of revenues from the industrial equipment business. We are expecting segment operating income and operating income margins to improve in 2014 for each segment. After considering our updated mix of business based on our expected revenue levels, we’re forecasting our earnings from continuing operations per share to be in the range of $4.32 to $4.72 per share. We expect earnings from continuing operations per share to increase between 31% and 43% overall reported earnings from continuing operations per share of $3.31 during 2013. We expect earnings from continuing operations per share to increase between 18% and 29% over our adjusted earnings from continuing operations per share of $3.66 in 2013. We’re forecasting cash flows from operations to be approximately $70 million. In addition, we’re forecasting EBITDA as defined to be in the range of $134 million to $140 million for 2014. Given these cash flow and earnings projections and excluding the financing impacts of any acquisitions that may take place in 2014, we are forecasting gross debt leverage to approximately 2.5 times at the end of the year and net debt leverage to approximately 2.1 times by the end of 2014. We are forecasting net capital spending for 2014 to total approximately $25 million with $14 million of this amount representing growth capital primarily for the Assembly Components and Engineered Products segments. We expect depreciation and amortization to approximate $22 million. Finally, we’re forecasting our effective tax rate to be 34.2% for 2014. Based on our estimate of earnings by tax jurisdiction and the fact that tax valuation allowances will not reverse to the same extent as in 2013, we expect our effective tax rate to increase in 2014. I’d like to close by saying, how excited we’re with the 2013 performance and I’d say that we’re with the prospects of 2014 as we accelerate our performance. Thank you very much and I will now turn the call back over to Ed.
Edward F. Crawford : Matt, thank you very much for your very comprehensive review of the 2013 activities. I would make some general comments, but I think it’s well described and some of the accomplishments in 2013, we’re pleased with the stock at the level and our bonds are trading at 112 [ph] so things are in the order and we feel that and are optimistic about the future, particularly 2014. And I would like to now take this opportunity to turn over the lines to questions. Thank you.
Operator: Thank you. At this time we’ll be conducting a question-and-answer session (Operator Instructions) our first question of today comes from Ajay Kejriwal. Please proceed with your questions.
Ajay Kejriwal – FBR Capital Markets & Co.: Thank you, good morning gentleman.
Edward F. Crawford: Good morning Ajay, how are you today?
Ajay Kejriwal – FBR Capital Markets & Co.: Very good, thank you. Good to see you guiding to 13% revenue growth for 2014 and maybe I’d missed this, but could you provide some color on how much of that growth would be organic versus the acquisitions?
Edward F. Crawford: Matt, why don’t you breakdown the detail or Scott.
W. Scott Emerick: Yes, I can comment on that, actually our outlook is heavy organic growth, next year, it’s about 70% of that increase with 30% of that being through acquisition.
Ajay Kejriwal – FBR Capital Markets & Co.: In those acquisitions, I know you do a couple of smaller of deals over last several months. So the 30%, is that from acquisitions already done in 2013 or is it future acquisitions?
Matthew V. Crawford: Ajay, its Matt, but we have not put any presumption of an acquisition in the 2014 business plan. So the only acquisition to which Scott is referring to and the 30% are related to the Bates acquisition, that will take-up a few months at the beginning of the year and the relatively small acquisitions are QEF and Henry Halstead, they were completed towards the end of the year. There is no assumption of additional acquisition.
Ajay Kejriwal – FBR Capital Markets & Co.: Into that numbers, so it is the extent you could do more deals that would be upside to this number?
Matthew V. Crawford: Correct, yes.
Ajay Kejriwal – FBR Capital Markets & Co.: Good. And then on that for organic, I know Matt you can gave some details, looks like the aluminum business should see a nice ramp and then also the engineered products business. Would you care to talk a little bit about the supply type business as well? How should we think about that business into 2014?
Matthew V. Crawford: Sure Ajay, well, I mentioned a few segments that are improving. I think I would have seen some momentum, most notably in the three areas I discussed, not the least of which is heavy-duty truck. Our major customer there seems to be emerging from a pretty slow last couple of years, so we expect to see the benefit of that, but that really didn’t tell the whole story. Ajay, we have been talking for a while now about really a restructuring the way we go to market to try and accelerate growth whether that would be relative to our strategy of following our customers internationally and what that means, we are moving some pieces around the chess board relative to personnel domestically. So while I do think we are getting some benefits from some key markets, specifically the ones that I mentioned during my comments. I think I would understate the momentum we have and what we are looking at from a coding perspective.
Ajay Kejriwal – FBR Capital Markets & Co.: Good and then could you clarify on that 35% to 40% growth in the aluminum. Is that for all of the aluminum components segment or is it just that aluminum business?
Edward F. Crawford: All are related – ramp-up of additional contracts.
Matthew V. Crawford: It’s just Ajay, just because it’s my number I want to be clear. We’re referring specifically to aluminum components, not for the segment.
Ajay Kejriwal – FBR Capital Markets & Co.: Right. So just the aluminum business, because the segment has other pieces in it, right?
Edward F. Crawford: And yes, exactly, in fact aluminum is a minority of the segment, although growing more quickly, but we don’t usually as you know forecast by business units, but in this case, given the sensitivity towards the launches in that particular area and the amount we have been spending to achieve them, we thought it was worthwhile to give a sense of the growth rate inside that that particular business.
Ajay Kejriwal – FBR Capital Markets & Co.: Good and then maybe talk a little bit about the margins, looks like you are forecasting for roughly you 0.5 point in margin improvement, so that’s good. Is that mostly driven by top line leverage or do you have any other elements like cost cutting and all that you are factoring in, in that margin improvement?
W. Scott Emerick: Yes, Ajay, I mean certainly top line, no question. You know our business well enough to know that, we do see nice operating leverage depending on the business they all have a certain degree of operating leverage. So clearly that is part of it. And no where is that more present than, then they little bit in products division and making sure that we can begin to see and measure profitability with the sales growth and also I think our highest quality of earnings of course is our capital equipment business, which is insider engineered components and we’re seeing that return to what we have historically seen as the mix that they have had in our business I think should believed as well, so its top line in mix with that.
Ajay Kejriwal – FBR Capital Markets & Co.: Good and one last from me before I pass it on. Any update on the trends into the quarter, weather, any impact you are seeing in any of your businesses and then just how the quarter has been, 2.5 months? Thank you.
Edward F. Crawford : There have been a minority of our businesses that I have discussed one with distinct issues related to business interruption related to weather, happens to be a very high margin business for us. So clearly, we have seen issues related to weather. I would say that manifested itself in the aggregate numbers as maybe a little bit of a slower start that we would have expected, but not necessarily meaningful to your forecast.
Ajay Kejriwal – FBR Capital Markets & Co.: So you’d still expect year-on-year growth in the first quarter, right?
Edward F. Crawford : I don’t know that we want to forecast by quarter, Ajay. I think we try to stay away from that. I think I did make a comment that we expected the year to be slightly back-end loaded, but I don’t know that we want to give more detail on that at this point.
Ajay Kejriwal – FBR Capital Markets & Co.: Good, that’s fair. Thank you very much.
Edward F. Crawford : Thank you.
Operator: Thank you. Our nest question is coming Steve Barger from KeyBanc. Please proceed with your question.
Steve Barger – KeyBanc Capital Markets, Inc.: Hi, thanks. Good morning.
Edward F. Crawford: Good morning, Steve.
Steve Barger – KeyBanc Capital Markets, Inc.: I am going to ask you the margin question in another way. As we look at your incremental contribution margin in 4Q was around 2%, it was around 4% for the full year. The guidance implies incremental in the 10% to 15% range, which is more inline with what you achieved in 2011 and 2012. Is that a reasonable way for us to be thinking about your incremental margin going forward, as you think about your mix and how you expect the top line to grow?
W. Scott Emerick: Hi, this is Scott Emerick. I think, the way the business is changed so much from 2012 with the FRS acquisition, really the company has changed a lot. So I am not sure you can go back to 2010 and 2011 and draw conclusion on consolidated margins. I think the way Matt characterized it, with the volume increases that we are getting next year, the top line and then the improved mix we are getting, especially with the rebound in the capital equipment business, those are the primary derivers of that margin improvement.
Steve Barger – KeyBanc Capital Markets, Inc.: Okay. And for the $14 million in growth capital, can you talk about some of the specific projects you will be funding or may be finishing up?
W. Scott Emerick: And also for the first time in a long time, we are spending a little money in our forge group. The forge group I think had some really unique opportunities related to with a competitive advantage we have relative to our process at raw material source, that’s one you don’t hear us talk a lot about, but we are refocusing some of our energies as it relates to improving capacity in our forge business. And lastly and I think I may have mentioned in this on the last call, we are seeing an opportunity to extend some of our fuel filler technology into China. So we are spending a little bit of money there on a relative basis to build a manufacturing cell surrounding our fuel filler technology to support GM Shanghai.
– : And also for the first time in a long time, we are spending a little money in our forge group. The forge group I think had some really unique opportunities related to with a competitive advantage we have relative to our process at raw material source, that’s one you don’t hear us talk a lot about, but we are refocusing some of our energies as it relates to improving capacity in our forge business. And lastly and I think I may have mentioned in this on the last call, we are seeing an opportunity to extend some of our fuel filler technology into China. So we are spending a little bit of money there on a relative basis to build a manufacturing cell surrounding our fuel filler technology to support GM Shanghai.
Steve Barger – KeyBanc Capital Markets, Inc.: Got it and for those last two through the forge in the fuel filler, will that start to generate benefits in 2014 or is that more like a out-year benefit?
Matthew V. Crawford: Certainly the forge one is an out-year that the lead time on putting together a forge line is pretty dramatic. So that is definitely an out-year. I don’t recall exactly when we are going to see revenue from the GM Shanghai opportunity, but in that case it will be late year probably out-year as well.
Steve Barger – KeyBanc Capital Markets, Inc.: Okay and I was trying to write fast and I may have missed it, did you say that the aluminum business should be fully ramped or did you say when the aluminum business should be fully ramped this year?
Edward F. Crawford: This is Eddy. Number one, clearly the ramp up is going at a slower pace than we anticipated. That's where the trailing of the earnings, but the ramp is under full speed at this point and outlined by Matthew’s discussion on growth in that particular unit, but we will not reach its peak as we ramp ahead of finals. Two tranches of business came in, we talked about the $125 million with the orders, then the $100 million, the $225 million orders we have taken in the last year and a half. We are not even into just beginning to get into the second $100 million. So the full impact of all that on the operating income of the aluminum effort will not be reached until the latter part of this year.
Steve Barger – KeyBanc Capital Markets, Inc. : Got it and in terms of new programs that are out there, there was a lot of news in the quarter about forge coming out with an aluminum body, which I know is a long way away from ever getting into production, but is there any new business you are looking at that may give you the next leg or something to think about for where the business goes?
Edward F. Crawford : Well, number one, we have talked about having in our current plans somewhere between $215 million to $300 million in revenue from those locations, those five units were on the way there. We thought we had 100% of the business committed to at least $250 million. The Dart has been a disappointment. It’s been a disappointment to Chrysler, it’s disappointment to everyone in the auto business, I mean Dart is selling at half the volumes they projected. We’ve have got the equipment, but when you are thinking about reducing $35 million or $40 million worth of products and the equipment here only producing $20 million, yes, fill at a whole, but there is tremendous, I don’t know, where the capacity will come from, but we are hesitating and going deeper until we see the real earnings of this company. So as indicated, we have virtually sold out the capacity we have for ramping up to it, it should hit all, everything should be on where we placed this business from the Dodge, there is plenty of business around, but the F150, the Ram Truck, all those companies, all those front knuckles are going all aluminum. And instantly, everything in China is going aluminum. So it’s real, but before we invest any additional new CapEx in the business, I want to see the returns advanced EBIT to the levels that we anticipated. So we are not active at this point trying to grow this business beyond the current level and we are going to wait for the earnings to catch-up and they will. Fortunately, we’ve had a change in the CEO there, a gentleman who’s worked with us, with me for some 30 years has decided to retire and we’ve been able to pickup a very talented person that brings 12 years of experience at the operating level and we have the business, we have the platforms, now it’s really pressing in on the operations and making in a more efficient, less scrap and higher EBIT. So that’s the real project for 2014.
Steve Barger – KeyBanc Capital Markets, Inc.: That is a great detailed answer. I appreciate the color. Shifting to Supply Technologies; I think last quarter, you talked about a couple of new sales hires, can you just discuss, how they are ramping, are they signing new customers, are they have been able to get deeper with existing customers, just how is that initiative going?
Matthew V. Crawford:
Steve Barger – KeyBanc Capital Markets, Inc.: Okay. And I understand the sales cycles are long there, but you have relationships with some of those customers already, so presumably that should be a little bit of a tailwind as you go into having those conversations?
Edward F. Crawford: Yes, I think we’ve always been pretty good at getting more business from current customers. Our intensity has switched to new customer development.
Steve Barger – KeyBanc Capital Markets, Inc.: Got it. In both the U.S. and Europe or more focused in Europe?
Matthew V. Crawford: I think the European initiative is 18 months to 24 months old now and they have been bearing some fruit, but focused largely and are pursuing our current customers, the shift we experience a strategy for personnel and strategy for sales, mid to late last year was focused on really new business development, new customer names, and new opportunities in the U.S.
Edward F. Crawford: So we’re going to continue to change personnel here and the sales initiative that Matt is talking about [indiscernible], new area , new people, new ideas, different customers, so we’re making decisions now that affect, not 2014 we’re talking about things that are happening at 2015 and 2016 now. We have to have a mixture, we have the team to fit the size of the company going forward.
Steve Barger – KeyBanc Capital Markets, Inc.: That’s great answer. Thank you. And last one for me and I’ll get back in line. I heard you say that there are no acquisitions built into the revenue forecast, but what is the likelihood of deals? Can you talk about what kind of activities or conversations you are seeing right now in terms of the number of conversations that are taking place?
Edward F. Crawford:
, : But there is – it’s a long progress as you know. You have to check lot of boxes, but we are active, we will always stay active, but we’re pretty strict on what we’ll move on. So hopefully something will happen, but what we have out there, the guidance we have out there is without any additional push from acquisitions.
W. Scott Emerick: I want to point out take it this opportunity. You think about the end of the year when you think about the quarter and when you think about 2013, we and we’ve talked this if you are in around long time we’ve always talked about this capital equipment business, you are supposed to get the orders in January, you don’t get them until February. They’ve always supposed to be shipped for the end of the year and this was clearly a year and I’m really disappointed in fact, that we were talking and firming up the guidance in November and that's how strong we talked about where we were with the capital equipment business, but everyone got so busy so quickly the parts necessary for us to complete the machines that we already sold that were sitting on the floor, we couldn’t get the parts in, so we couldn’t take percentage of completion. So when you take $14 million worth of sales basically that have been moved forward as Matt said, I if at this rate, if you use the historical margins of that particular capital equipment part of the business when you give up $14.8 million of sales you also give up $0.11 in EPS. We only have 12.3 million shares and all the shareholders on this line, so the leverage here is incredible. We hope this way because it’s going the wrong way for us, but if we had completed more, it would have been $14 million sales on above what we planned, we will be talking upside, so it's disappointing, but it’s clearly something that hasn’t been lost, it’s been pushed downstream.
Steve Barger – KeyBanc Capital Markets, Inc.: Understood, thanks very much for that. I will get back in line.
Operator: Thank you. Our next question is coming from Jay Harris from Goldsmith & Harris. Please proceed with your question.
Jay R. Harris – Goldsmith & Harris Incorporated: Going back to these parts that…
Edward F. Crawford: Hi Jay, how are you today?
Jay R. Harris – Goldsmith & Harris Incorporated: Very good, yourself?
Edward F. Crawford: Well, thank you.
Jay R. Harris – Goldsmith & Harris Incorporated: All right. Going back to these parts that got delayed, can you give a little more color, what are the segments of manufacturing might have been not yours particularly but in general might have been adversely affected by the inability of the suppliers to ship on time?
Matthew V. Crawford : Jay this is Matt, I’m not sure I understand your question.
Jay R. Harris – Goldsmith & Harris Incorporated: Well you had ordered parts for your engineered products that didn’t come in on time.
Edward F. Crawford: Yes I mean let me back up and say Jay that I think that Matt had characterized one piece of a very complicated puzzle, right, forecasting in that business and you have been around long enough to remember this I think, is an extreme challenge. The timing of when orders will be received compared to when the timing of when they will want the piece of equipment, these are very, very complicated negotiations and often characterize themselves or manifest themselves some volatility relative to earnings. Certain contracts some in our business, weak account for a completed contract basis.
Jay R. Harris – Goldsmith & Harris Incorporated: Right.
Edward F. Crawford: Certainly we account for on a percentage of completion. So I think Matt did a nice job of characterizing one of the issues that impacted our fourth quarter results for that business, but it was really a variety of issues including the inability to receive certain parts. It also included ability to get in some labor hours over the holidays, it included customers who deferred a receipt of the equipment, it includes some foreign operations having manufacturing issues, so we got hit by a variety of things that while are not fundamental to the business impacted the results and what already is a pretty volatile or challenging business to forecast.
Jay R. Harris – Goldsmith & Harris Incorporated:
Edward F. Crawford: Let’s not focus too much on that individual comment and I would not make just say, something we can extrapolate outside our business. This was just a variety of negatives which impacted our ability to forecast that business well in the very end of the year.
Jay R. Harris – Goldsmith & Harris Incorporated: Let’s go on; you indicated on your last conference call that you sold 25% interest in your forging business, I think to the local steel company. What kind of capital expenditures are required to expand this business as you’d like to have it expanded over the next few years?
W. Scott Emerick: Jay that’s a – supplier question that Steve Barger, I think asked me about CapEx and we…
Jay R. Harris – Goldsmith & Harris Incorporated: I am not talking about CapEx in 2014, I am talking about the forging business, the CapEx in the forging business to expand it.
W. Scott Emerick: I understand the question Jay, I was just commenting that we are clearly reinvigorated in our desire to invest in that business. We have not mentioned that often over the years, it’s been a business that generated a lot of cash, but we certainly believe that the opportunity over the next three years could be as much as $10 million to $12 million in the incremental investment opportunity.
Jay R. Harris – Goldsmith & Harris Incorporated:  And was there a other than selling, just selling a 25% interest and getting that cash in the door where there other quick foreclose that you might be able to comment on in terms of that partnership relationship?
Edward F. Crawford:
Jay R. Harris – Goldsmith & Harris Incorporated: All right and then finally, recently there has been a suggestion out of Washington that the truck industry upgrade their motors, in 2015 that may or may not happen, what would be the impact on the flow of business that you do with that industry, should these rules go through?
Edward F. Crawford:
Jay R. Harris – Goldsmith & Harris Incorporated: All right, thank you very much. Keep up the good work.
Edward F. Crawford: Thanks Jay.
Operator: Thank you. Our next question today is coming from Thomas Van Buskirk from Sidoti & Company. Please proceed with question.
Thomas E. Van Buskirk – Sidoti & Co. LLC: Hi good morning, just…
Edward F. Crawford: Hi.
Thomas E. Van Buskirk – Sidoti & Co. LLC: Just to go back to a couple of things; can you help me connect the dots a little bit between the issues that you had in the fourth quarter maybe in terms of parts deliveries and so forth and then the delay in getting the capital equipment finished? And then your more general comments about the back-end loaded nature of how revenue is going to fall in 2014? I am just trying to get a sense of, in terms of the parts deliveries and so forth and other issues, fixing the problems from the fourth quarter, how far you are along in already getting that business completed or how long is all going to take and how those two things relate? And whether the weather was a factor in any of that?
Edward F. Crawford: I will take the first part of that. I use one example of parts delivery, if your building a machine, there is tremendous amount of components you buy and some you build yourself, is like building your retrospect, so not one thing impacted the delivery of those items in that quarter, okay, a whole serious of things. Some could been weather related, some could be pure ours, it could be numerous things. So I was mentioning one of 15 to 20 variables, okay, including the customers if they are not ready at a particular location and they decide they don’t want a shift, they can prevent that by saying we are not ready to put the machine in, but anyone who has been around with this company as long as I have, in the last 20 years, we have had this 10 of the last 20 years, we have slippage in the fourth quarter of capital equipment due to a whole series of things when you are building in retrospect. So, this is not new, okay, it came up very, very quickly and it has to be even in process, it has to be at certain level of completion for us to take it into earnings and revenues, that was not done, it’s going to be taken in, okay in 2014. So, this is not a new advantage, not a surprise, it’s a surprise we couldn’t get it out to us and it affected our earnings, but it has happened before, okay and we can’t control it down, you are building machines, it takes a year. The buildings I mean some scratch, this is not one day. If you get the order in March, you will start building this machine, it sells for millions of dollars and you get about thousands and thousands of components. So this is not as simple and just clamping a bunch of, lots of bunch on it. This is a highly engineered, that’s why the margins are still high in this business. So it happened in all, let’s not cease on one idea just a the part, our whole proper real ideas that prevented us from going out, okay and we wish it had gone out in the fourth quarter and quite frankly we thought it was, it didn’t, but it’s going to go out soon. Okay, so I’m disappointed about it, but this is the way the capital equipment business evolves over years and years and years, because you have to depend on a lot of outside suppliers to send all the pieces to put the things [ph] together.
Matthew V. Crawford : Tom this is Matt. Let’s focus on for a second 2014 and just say that there is really no connection per say between I think in event we’ve already made way too much of as it relates to an issue we had at the end of the fourth quarter some timing issues. As it relates to 2014, really what we mean by back-half is our business doesn’t seem to have the seasonality it once did. So the back-half really, we’re referring to is not necessarily a significant revenue swing as it relates to the overall business certainly nothing material. It relates to where we hope to be a couple of things that are either relative to timing or relative to improvement – when I say improvement, obviously I’m referring to in general aluminum are going to kick an incrementally a little more profitability in the second half than the first. That’s really yet, I don’t think it’s going to be material in any way, but it will be just our effort to try and not suggest there is huge volatility, just our way to suggest that we felt the back-half would be slightly stronger than the first half. That’s it. I wouldn’t read anymore into than that.
Thomas E. Van Buskirk - Sidoti & Co. LLC: Okay. That answers the question. I just wanted to – I was just trying to see if there was a connection between the two statements and also to see kind of how far you were in getting the other issues that expect that sounds like it’s a complicated question?
Matthew V. Crawford :
Thomas E. Van Buskirk - Sidoti & Co. LLC: I totally get that. I’m just trying to model the quarters a little bit in terms of seasonality and front half versus back half that kind of stuff. Just one quick follow-up on heavy-duty truck because that did become a much smaller vertical obviously in the past couple of years than in the past because of what the industry went through. Is that I guess – the worst piece of that is do you think the rebound there is sustainable and we have to point already where it’s now, a meaningful contributor to revenue for the segment and to the segment growth?
Matthew V. Crawford: In terms of stability in the industry, we hope [ph] to find someone that would be in a position or would want to predict this industry long-term. I’ll just sort of take what we can get what seems to be a little bit of a wind on our back year-over-year. In terms of stability in the industry, we hope [ph] to find someone that would be in a position or would want to predict this industry long-term. I’ll just sort of take what we can get what seems to be a little bit of a wind on our back year-over-year. In terms of stability in the industry, we hope [ph] to find someone that would be in a position or would want to predict this industry long-term. I’ll just sort of take what we can get what seems to be a little bit of a wind on our back year-over-year. In terms of stability in the industry, we hope [ph] to find someone that would be in a position or would want to predict this industry long-term. I’ll just sort of take what we can get what seems to be a little bit of a wind on our back year-over-year.
Matthew V. Crawford: Tom, one of the things you really and everyone is trying to predict the truck market markets is rather unusual, lumpy at best, but the ageing of the fleet is something we keep our eye on and clearly the ageing of the fleet, the trucks on the road, they are piling up these miles every single day, there is a built-in demand, it’s coming, because they can only take it so long and only rebuild it some many times, so I think we’re closed to a point where the ageing of the fleet is going to catch-up and produce new truck sales. And I think the change of the machines and everything also, all are going play a part of it, but the trucks are out there every single day, running, running, running and we’re going to get a run here and we’re looking forward to it, because it has been an exciting business to be in it for two years, but its coming and its perking up right now. So I think, we are ready to run personally, hopefully I am correct, but the ageing of the fleet should be considered.
Thomas E. Van Buskirk - Sidoti & Co. LLC: I appreciate that, thanks a lot.
Matthew V. Crawford : Okay. Thanks, Tom.
Operator: Thank you. Our next question is coming from Mike Hughes from SGF Capital. Please proceed with your question.
Michael Hughes – SGF Capital Management: Good morning, thanks for all the details and the prepared remarks. First question, on the corporate costs $6.3 million in the fourth quarter, is that kind of a good run rate for 2014?
W. Scott Emerick: I’d say, it’s reasonable, it’s a reasonable run rate.
Michael Hughes – SGF Capital Management : Okay.
W. Scott Emerick: I will give you some guidance on corporate costs for 2014, that will be in the $24 million to $25 million range.
Michael Hughes – SGF Capital Management: Okay. And then my understanding, I think you said in the past that heavy-duty truck, given you have one large customer there that carries a little bit lower margin, is that correct on the Assembly Component side?
W. Scott Emerick: It is correct on the supply technology side.
Michael Hughes – SGF Capital Management: I am sorry, supply tech.
Michael Hughes – SGF Capital Management: No, in early back up and say, we deal with a lot of people in the heavy-duty truck industry, from an OEM prospective we have some concentration, we have to do a lot of business with the tiers, so that’s a significant portion of what we call our truck revenue as well. But marginally I mean, it’s in a lower margin, but it also is a completely different model on cost reserves, so some of that is mitigated, but it’s clearly a lower margin business.
Michael Hughes – SGF Capital Management: Okay.
Edward F. Crawford: Mike, this is Ed here. One other additional comment to them, being a lumpy business as it is, we have to maintain the capability if you just can’t cut out the ability to respond to the trucking company, especially like Volvo, they will go from 10 miles an hour to 40 miles an hour and will do all in about two months. So we have to stay alert and on our toes at all times to be able to pickup any quick ramp-up in that business and it always comes fast when it comes. So there is little bit extra cost carrying that long as you prepare for the volume, because it’s like anything, it’s where the warehouses were that’s in, by hold with the trucking is done from is not being fully utilized.
Michael Hughes – SGF Capital Management: Okay. And then last question on Assembly Components and then within Assembly Components, the aluminum business. You mentioned scrap being a little bit of an issue, is there as these new business ramps are more of a warranty expenses issue too or it’s just the 6.1% margin in the quarter, it was a little bit disappointing, so how do you see that building over the year?
Matthew V. Crawford : I agree with you, it was disappointing. There is no warranty issues, it’s just that when you are bringing up a new product, your part of the design is being in the aluminum casting safety critical business. Some aspects of the aluminum casting business are machining that don’t require the safety critical nature relative to process and we have been brining up a lot of a new platforms, 12 to 15 new platforms all at the same time. The scrap isn’t an issue, but it could be an issue. We programmed in the pricing model certain scrap rate before going launch period and we are not far off that, but we expect it to come down very, very quickly when we get into the full launch. So we are right at that turning point and the amount of scrap, although it’s reprocessed and put back in the system, we have to make it twice if it’s not good, but scrap doesn’t result in shipments under quality, because there are strict quality standards to our customer, but it is just an internal absorption that it’s expected above where the point now where that should stop, okay.
Michael Hughes – SGF Capital Management: Okay, great. Thanks for all the color.
Edward F. Crawford: Okay, thank you.
Operator: Thank you. Our final question today is from John Dunn, a Private Investor. Please proceed with your question.
Unidentified Analyst: Hi guys, great quarter, I look forward to a good year in 2014. A comment and a question; first comment, congratulations on the net debt reduction, especially the projection for 2014, I know you guys have been working on that a long time and balance sheet issue, that would help. Eddie back to you, I know you set some pretty strong sales guidance, I think it’s in the range of $2 billion in five years off last year. Are you still on target for that and do you see any proportionality differences in the free silos when you actually obtain that level? Thank you.
Edward F. Crawford: John, we achieved the run rate that we expected and as each year we get to the total of the $2 billion, we have to achieve a run rate for the previous year, we carry into 2014 achieving first of the five legacy [ph], now working on the second and that requires a higher increasing revenue, okay, so we have to work harder, but we are still committed to the N5 and the combination of again organic growth and acquisitions, so one down and five to go on and we expect to have keep a achieving that goal, that’s we have in mind but we are not going to do that cost of not making a profit within cash flow. So we are not giving things away and we are not paying too much for the acquisition. So we are going to be in discipline and we want to do that actually, I would like to see that it’s possible, but then the result is, it’s a goal, but it’s important to make sure that we bring the margins along with it.
Unidentified Analyst: All right, thank you very much, let’s hope for good start in 2014.
Edward F. Crawford: It doesn’t any reflect any additional question. I want to thank everyone, all the stakeholders at Park-Ohio, the employees and the investors and the bondholders and it’s over here. We are pretty excited about it. It wasn’t perfect, but when you lead in all the categories, the key personnel, the employees here all excited about the future. They think we have had a great year when they coupled, but you can’t grow this fast and can’t stand straight without having a few surprises and we are going to go after our 2014 goal and I look forward to seeing you, and our Annual Meeting is going to be on June 12, 2014 in Cleveland, Ohio. And if you are interested in coming, we’d love to see some of the shareholders or bondholders. You can contact Cindy Simmons at pkoh.com. Have a nice day, thank you very much.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.